Operator: Welcome to Oracle's fourth quarter 2015 earnings Call. As reminder, this call is being recorded for replay purposes. I'd now like to turn the call over to Ken Bond, Senior Vice President of Investor Relations.
Ken Bond: Thank you, Holly. Good afternoon everyone, and welcome to Oracle's fourth quarter and fiscal year 2015 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information, can be viewed and downloaded from our Investor Relations website. On the call today are Executive Chairman and Chief Technology Officer, Larry Ellison; and CEOs, Safra Catz and Mark Hurd. As reminder, today's discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. Throughout today's discussion, we will present some important factors relating to our business which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. As a result, we caution you against placing undue reliance on these forward-looking statements and we encourage you to review our most recent reports, including our 10-K and 10-Q and any applicable amendments for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or publicly release any revisions of these forward-looking statements in light of new information or future events. Before taking questions, we'll begin with some prepared remarks. And with that, I'll turn the call over to Safra.
Safra Catz: Thanks, Ken. I am going to focus on our non-GAAP results for Q4 and fiscal 2015. I will then review guidance for Q1 and then turn the call over to Larry and Mark for their comments. As you probably remember, I didn’t provide US dollar guidance for Q4 given the unusually high volatility in exchange rate. The currency headwinds ended up being higher than consensus estimates would reflect, with 8% to software and cloud revenue as well as the total company revenue, 9% for hardware revenue and $0.09 for earnings per share. Currencies continue to move significantly and remain unpredictable. So my comments today generally reflect constant dollar growth rate which is how we look at the business. We are delighted with our results, with the most important thing being that we dramatically over-achieved in the cloud. This is the first Q4 where we had everything together for the cloud. We had the products that we’ve been working on for a decade, the operations, the sales force and the references with many, many happy customers. Having all that in place caused SaaS and PaaS bookings to grow more than 200%, our best ever growth rate for cloud bookings and more than $125 million higher than our own $300 million goal. For most companies, as their business grows, the growth rates go down. In our case, as the business grows, our growth rates are increasing. So to the numbers, cloud SaaS and PaaS revenues were – I am doing only non-GAAP – were $419 million, up 34% from last year and well above the high end of my guidance. As our cloud bookings growth continues to accelerate so too will our cloud revenue growth. As I just said, bookings grew more than 200% further adding to the momentum which is helping drive SaaS and PaaS growth. Now when you translate the $125 million higher from SaaS and PaaS to had it been historically our license business, it probably would have been about $375 million more in license and it would all have been booked immediately, not ratably over time. So for us this was actually fantastic news. When bookings ultimately turn into revenue depends of course on many factors but one thing is clear our momentum in the cloud bodes very well for the future. Combined with infrastructure as a service revenue of $160 million, which was up 31%, our total cloud revenue in the quarter was $579 million. To help you further understand just how well we are doing in the cloud, I thought it would be helpful to compare our cloud billings growth rate to that of our principal cloud competitors. Billings is generally defined as total revenue in the period plus the sequential change in gross deferred revenue. Our practice at Oracle regarding deferred revenue has always been to net out the billed unpaid invoices from our deferred revenue balance on our balance sheet. I believe that our cloud competitors follow a practice where they disclose only a gross deferred revenue book balance, not net for uncollected invoices. So we put up a spread sheet on our website to show you the same thing for comparability. We’ve calculated Oracle’s cloud billings using our competitors’ methodology or the sum of total cloud revenue plus the sequential change in gross deferred revenue. What it shows is that billings grew from $468 million in fiscal 2014 fourth quarter to $834 million in this just finished quarter. That’s a growth rate of more than 70% in US dollar and though there may be seasonality to billings number, this is dramatically faster than Salesforce’s 21% billings growth and Workday’s 31% billings growth in their most recently reported quarter. In summary, our cloud business is significantly outpacing the competition. Now total software revenues were $8.4 billion with software updates and product support revenues at $4.7 billion, up 8% from last year. Attach and renewal rates remain at their usual high levels as our growing installed base of customers continues to power earnings and cash flow. New software license revenue was $3.1 billion reflecting the accelerated migration to cloud. The shift to cloud was very pronounced in Europe where new software license sales were most impacted. But Europe was also our fastest growing region for both cloud revenue and bookings as you would expect from the substitution. Total hardware, including hardware support, grew 5% with hardware system product revenue of $818 million and hardware support revenue of $590 million. Engineered systems continued to be strong with double digit bookings growth and we continue to take share from IBM and HP. For the company, total revenue for the quarter was $10.7 billion, up 3% from last year. Non-GAAP operating income was $5 billion and the operating margin was 46% with currency and MICROS lowering operating margins by 2%, that [ph] we were able to maintain our industry leading operating margins with MICROS and while growing our cloud business dramatically is a testimony to the strength of our business model. While we believe our over-achievement in cloud bookings will be much more valuable in both revenue and earnings over time, cloud revenue is recognized ratably unlike new license which is recognized upfront. This shift has the effect of lowering near term earnings per share but over time will increase it significantly. So for example, a $1 million license deal which would be recognized upfront dropped right to the bottom line would ultimately result in about $3 million in revenue over 10 years. A $1 million SaaS, PaaS bookings – SaaS booking results in $10 million over that same time period. I would not trade the cloud revenue for the license revenue as cloud revenues -- and cloud bookings mean significantly more in revenues and earnings over time. The non-GAAP tax rate for the quarter was at 25.5% and EPS was $0.78 in US dollars, $0.09 lower due to currency. The GAAP tax rate was 25.4% and the GAAP EPS was $0.62 in US dollars, $0.08 lower due to currency. Both tax rates were significantly higher than my guidance and were the result of multiple factors but generally relate to the mix of earnings between the US and other jurisdictions with the US being a larger percentage of our quarter in recognized revenue than we forecast. For the fiscal 2015, total software and cloud revenues totaled $29.5 billion, growing 5% in constant currency. Cloud SaaS and PaaS were $1.5 billion, growing 34%. Cloud infrastructure as a service was $608 million, growing 36%. New software license was $8.5 billion and software support was $18.9 billion, growing 8%. Hardware systems revenue was $5.2 billion, growing 1% and services revenue was $3.5 billion, essentially unchanged from last year. Total revenue grew 4% to $38.3 billion. Our non-GAAP operating margin for the full year was 45% and non-GAAP earnings per share was $2.77. Free cash flow over the last four quarters was $12.9 billion. Capital expenditures continued to be higher as we provisioned existing orders and built out for SaaS and PaaS growth. As a reminder, our cloud data centers are built using our own engineered systems. So while CapEx is a cost to other cloud providers, a good portion of our CapEx is essentially a hardware sale which we sell as a cloud subscription. We now have $54 billion in cash and marketable securities. Net of debt, our cash position is approximately $12.4 billion. The short term deferred revenue balance is $7.2 billion, up 9% in constant currency. As we’ve said before, we’re committed to returning value to our shareholders through technical innovation, strategic acquisition, stock repurchases, prudent use of debt and a dividend. In terms of acquisitions, we continue to focus on finding the right companies at the right valuation, as both are critically important. This quarter, we again repurchased 4.6 million shares for a total of $2 billion. Over the last 12 months, we have repurchased more than 193 million shares for a total of $8.1 billion. We paid out dividends of $2.3 billion for a total that is 80% of our free cash flow. And the Board of Directors declared a quarterly dividend of $0.15 per share. Now to the guidance. We feel very good about our own performance but of course we are keeping an eye on the macro environment especially abroad. Additionally, given the continued high volatility in exchange rates, we expect currency will affect results but as of now we just don’t know how much. So I am going to again provide constant currency guidance, though I would take our results as some idea of what we think [indiscernible]. Clearly customers are migrating to Oracle cloud at even faster rate and my guidance reflects this accelerating mix shift. Since we are starting the new year, I am going to make some changes in my guidance. I am dropping some things, including smaller components of cloud and I am dropping GAAP guidance which both best match how we look at the business. All of my guidance today is on a non-GAAP basis and in constant currency. So here it goes. SaaS and PaaS revenue is expected to grow between 39% and 43%. Software and cloud revenue, including SaaS, PaaS, IaaS, new software license and software support is expected to grow between 6% and 8%. Total revenue growth is expected to range from 5% to 8%. Non-GAAP EPS in constant currency is expected to be somewhere between $0.56 and $0.59. This assumes a non-GAAP tax rate of 25.5%. Of course, if this quarter is any example, it may end up being very different. With that, I will turn it over to Mark.
Mark Hurd: Just a couple of quick comments, Safra, to add, I think when Safra told you about the 34% year-on-year SaaS, PaaS revenue growth, that was 12% sequential growth and almost entirely organic. We talked about billings growth of 70% now faster than Saleforce or Workday. Bookings at 426 million was 200% plus growth for Q4. Let me give you some customer numbers. We added 1217 SaaS customers in the quarter, new. 760 customers expanded. By pillar, HCM added 312 new customers in the quarter, 933 for the year, 3 times Workday’s total customer growth over the last four quarters. In customer experience, we added 657 customers in Q4, almost 1900 for the year. In ERP, we added 380 customers in Q4 and 888 for the year. Our installed base is now almost 1100 ERP customers in the cloud, nearly 10X the size of Workday. And let me add, we really never see SAP. In PaaS, we added 1419 customers in Q4. Let me just repeat. That was 1419 customers in one quarter. We booked over 100 million and grew 100% sequentially. We are now at scale. Our cloud revenue is already above a $2.3 billion run rate. We added 858 million in ARR this year – 858 million. Using the conversion that Safra used a little while ago, that would be almost 2.5 billion in license and we expect to sell between 1.5 billion and 2 billion in ARR next year. We are now growing faster than both Salesforce and Workday. And we expect revenue growth next year could be as high in SaaS, PaaS as 60%. Now I have given you a lot of numbers to reflect on but when you look at customer counts, booking, revenue, the result is the same. We are doing what you very rarely ever see happen in our industry. We are getting bigger and our growth rate is expanding. We will be the world’s largest enterprise cloud company. With that, let me turn it over to Larry.
Larry Ellison: Thank you, Mark. Well, Mark gave you a lot of interesting numbers and I’d like to drill into a couple of them. First, I’d like to look at our sales growth rate of cloud applications, SaaS and platform services, PaaS. I am intentionally leaving out our cloud infrastructure business, so I can do an apples to apples comparison with Saleforce.com which does not sell infrastructure as a service. Okay. Last year, in FY’15 as Mark just said, we sold $858 million of new SaaS and PaaS business. About half of that, $426 million was sold in Q4. That’s a year-over-year Q4 sales growth rate of over 200%. More importantly, the $426 million is more SaaS and PaaS new business that has ever been sold by any cloud services company in a single quarter, it’s a record. Clearly our cloud business has entered a hyper growth phase. This year, in FY’16, we plan on selling between $1.5 billion and $2 billion of new SaaS and PaaS business. In other words, we plan to sell at least twice as much as we sold last year. And that’s at least 50% more new business than Salesforce.com will sell in their current fiscal year. And if we exceed our plan like we did this Q4, we could book twice as much new business as Saleforce.com. Now I don’t think that’s likely that we will sell double what Saleforce.com sells. But it’s definitely possible. Second, let’s look at the impact these record sales rates have on SaaS and PaaS revenue. In Q4 of FY’15, our SaaS and PaaS revenue grew 35% in constant currency. Because our cloud sales has dramatically accelerated our SaaS and PaaS revenues are planned to grow at 60% in FY’16 unaided by any new acquisition. So our cloud service – our cloud business, is much bigger than Workday and we will grow faster than Workday will this year. Our cloud SaaS and PaaS revenue is still second to Salesforce.com but we are growing much much faster than they are. So it won’t be long before we pass them. How and why is this happening? Our SaaS growth is due to the rapid acceptance of our new generation of Fusion application. We now have over 1000 Fusion ERP customers, around 10 times more than Workday. Mark said that once, I am going to say it twice. Around 10 times more than Workday. Workday says they never see SAP in the cloud ERP market. That’s the one thing Oracle and Workday agree on. It’s between us, Oracle and Workday in the mid market and high end, the cloud ERP market and we are winning big time. We are the clear number one in cloud ERP and we are number one or number two in most other SaaS categories, including HCM, sales, service, marketing, EPM, supply chain and so on. We have a lot more SaaS application than any other enterprise SaaS company. Our PaaS growth is due to the huge pent-up demand for the Oracle database and Java middleware as a service. Our customers can now move their Oracle databases and Java applications to the cloud with the push of a button. That’s why our PaaS business is growing even faster than our SaaS business. Things are good for Oracle in the cloud.
Ken Bond: Thank you, Larry. Before we go to the Q&A, Holly, we have just one quick clarification. Share repurchases in Q4 were 46 million shares. With that I will turn it over to you.
Operator: [Operator Instructions] Your first question comes from the line of Jason Maynard with Wells Fargo.
Jason Maynard : Hey, good afternoon guys. Look, Oracle wasn’t the first and won’t be the last software company to go through this shift from selling upfront perpetual to ratable subscription licensing. And so the metrics that we are used to are obviously changing and you guys gave a lot of color around the current quarter. And what I hope – maybe we could do is drill down a little bit more on the longer term impact of the model and customer lifetime value. And I know your 10-year example, you generate more revenue with subscription. Can you guys talk a little bit about what you think the ballpark breakeven point is on a hypothetical deal, what happens to margins over this time and ultimately how this is going to impact cash flow?
Larry Ellison: I will repeat what Safra said. Okay, let’s take a $1 million deal. If it’s licensed over a 10-year period, you have a $1 million upfront of a license and you get 20% a year for 10 years, and that is up another $2 million for over 10 year period, you get a total of $3 million, and that’s after the cost of sales, it’s very profitable business. Most of that 3 million you get after the cost of sales is profit. And a $1 million SaaS or PaaS deal, you don’t get anything upfront. But you have to pay the commissions. And then you only get – and that $1 million deal is worth $10 million or more than 3 times as much as the license deal over a 10-year period, over triple the value. But the accounting is entirely different. The accounting you take it ratably over that 10-year period. You have to pay the commissions upfront and recognize expenses as upfront and you get 10 years, okay. So now what’s the profitability on SaaS and PaaS? It’s – this is going to shock you. It’s about the same as license and support. It’s stunningly profitable. Infrastructure as a service is very different. Again I am talking about SaaS and PaaS. Infrastructure as a service, the margins aren’t nearly so high. So we make money in infrastructure as a service. You can see what Amazon’s profit margins are on infrastructure as a service. We think it can be a profitable business when you get scale. But SaaS and PaaS is very similar to license. So that $1 million which turned into something less than 3 million in profit after you get the scale in license, turns into something less than $10 million in profit, say 9 million in profit over the 10-year period that you are providing the service. So it’s a much better business for us in terms of revenue – the revenue goes way up, the profits go way up, and the margins are approximately the same.
Safra Catz: I think we have a huge advantage, Jason, that some of our competitors don’t have. We make most of the components for the cloud service ourselves.
Larry Ellison: Yes. Again, Salesforce paid us a lot of money for their platform. They buy Exadata from us to run their data center. They buy the Oracle database. They paid a lot of money for the Oracle database. So yes, by the way, we just signed an Oracle database deal, so SAP could run concurrent. We signed an Oracle database deal – this is all in the last 12 months, so SAP can run Ariba. We signed an Oracle database deal, so SAP could run SuccessFactors. We get a really good deal on the Oracle database, on Java middleware, on Exadata, and all of those things. So our expense profile is very, very different. By the way, it’s interesting, SAP does not use HANA in the cloud very much. I know that because they keep paying us, again this quarter they paid us for Oracle [Perfect and Concur] [ph] and Oracle for Ariba and Oracle for SuccessFactors. They are using HANA for anything, I don’t know about it.
Mark Hurd: Jason, just to add – think that as you talked about the conversion from license to ratable I gave this out last quarter but I will give it again for this quarter. Last quarter I think I said that 82% of our cloud SaaS deals were actually not Oracle customers of an application when they acquired or contracted for a SaaS application. This quarter it was over 60. So these are – this is not just the conversion of Oracle customers, Oracle application customers to SaaS, this is a lot of greenfield new market share for Oracle as well.
Jason Maynard : Great. No I appreciate the commentary. Thanks guys.
Larry Ellison: Again to follow up to what Mark just said, so the SaaS market is much bigger than the license market. I think as Mark is saying, we know much further down the market, get the customers we could never get to before, because the SaaS service is much easier to consume for a mid-sized company than buying a computer, or opening a data center, hiring a bunch of people and running licensed software. So we think the available market is dramatically large.
Mark Hurd: Yes, the global mid market is now available to us unlike it would have been in the traditional license model and it’s very exciting.
Operator: Your next question will come from the line of Michael Turits with Raymond James.
Michael Turits : Hi guys, good afternoon. Wanted to drill down on the cloud numbers and especially how they stood up probably to license. [The license] [ph] miss in the quarter as consensus by about 273, obviously that’s very much due to that shift over to cloud in terms of accounting structure, terms structure. Is that all due to that or is there some impact anything negative that we should read fundamentally into the license miss and either database apps or middleware?
Safra Catz: So first of all, I didn’t give guidance regarding license. So whatever number you put in your spread sheet, we didn’t make that number, okay.
Michael Turits : No, I just meant relative to consensus. That’s all.
Safra Catz: Okay. Relative to all of you who have a lot of spreadsheets, so however, the reality is I think that you can see the most instruction from what happened in Europe. Our Europe new license was down a lot. Our Europe cloud was huge. So it was -- for them they focused all-in, they went all in on pushing cloud and that’s where the focus went. Other than that, I think if we are going to talk about spreadsheets that I did not actually guide you to, in currency I think you all missed the boat there too a bit. But that’s okay. We got another quarter now and – but the truth is that yes, our customers are focusing on cloud as are our sales force. We have a lot of references and when a customer comes to us to the extent that they are a good candidate for cloud, which they are, we are going to be talking about cloud, we are going to be selling cloud and we would much rather have a cloud booking for, as I said, for $1 million than we would for a license deal which I book all the way right upfront to the bottom line, we would much rather have a cloud booking for $1 million than a new license dollar and we are pushing that conversion quickly.
Mark Hurd: Just to add little bit more. No region missed its CD forecast with the exception of Europe. So just to be clear, CD forecast that you are – when you are talking about dollars from a CD perspective, every region executed as we expected in license with the exception of Europe. Europe had a phenomenal cloud quarter inclusive of probably one of the most exciting financials in the cloud deal we have seen at HSBC. So some very exciting transactions in Europe and they definitely made the shift but to whatever you have in your numbers, on a local basis, no region missed its CD forecast in license with the exception of Europe that had a material shift to the cloud in the quarter, including some pretty exciting deals like what I just described.
Operator: Your next question will come from the line of Heather Bellini with Goldman Sachs.
Heather Bellini : Great, thank you. And Safra, I know our spreadsheets are nowhere near as good as yours are. But just to follow up a little bit. Q4 used to be – you’d always characterize as Mardi Gras for Oracle from a license revenue perspective, and now that this transition seems to be happening so swiftly, and Q1 you would always have this big sequential drop-off. I know you don’t specifically talk about license revenue but given we are all trying to get a hang of how to think about the company’s seasonality going forward, should we think about Q4 – the dynamic for Q4 seasonality is going to become a little bit more muted, continue to become more muted as you have this success transitioning but then again Q1 which used to be a quarter where license revenue used to have such a big sequential decline, maybe Q1 gets a little bit easier. Is there any way you can help us think about the seasonal changes?
Safra Catz: Yes. You are on it. Yes, Heather, you have got it actually exactly nailed correctly. The reality is that cloud is growing sequentially generally regardless. So Q1 in revenues, Q1 cloud is not going to be a giant drop-off from Q4, I know. My team here is telling me it’s going up. I just gave the guidance. So yes, so Heather, you have that right. So the seasonality for the whole company is muted. It is still true that from a bookings point of view and things like that, Q4 is Mardi Gras and it’s still Mardi Gras. But revenue smoothes out. New license which was always just so enormous in Q4 takes a dry and drop-off, it becomes less and less important. So in total revenue the seasonality smoothes out a bit, and – but of course, our new license numbers are still very big numbers but in Q1 they are a much smaller percentage of the total than they are in Q4.
Mark Hurd: I do think it’s worth nothing, Heather, that in Q4 for us on a cloud bookings basis, we came in with a forecast that we had which was what we talked about at the end of Q3 with the conference call and every week this forecast got better. Every week. There was not a single – I gave an example of one deal but there is no gargantuan transaction in there. There is no dominant region, there is no dominant pillar, it is consistent by pillar, by geography, and it was a very consistent steady move every week as we advanced through Q4.
Operator: Your next question will come from the line of Kash Rangan with Merrill Lynch.
Kash Rangan : Hey guys, I am not going to ask you a spreadsheet question but I want to ask about databases. Any commentary on the new license sales of database, directionally how it’s trending and also an update on 12c adoption, what percentage of the base is on 12c and any quantification you can provide on the options, that will be good. Thank you.
Mark Hurd: 12c was good in the quarter. I think we gave you a comparison last quarter but if we compare it to 11, we’ve been about 50% faster in feature adoptions of 12c than we were at 11, so it was very strong. And if you went by region, you saw a tremendous performance in database in North America, even in license. And you saw that really consistently across the regions except for the shift that we saw in Europe but the adoption speed of 12c was quite strong in the quarter as it was in Q3.
Larry Ellison: Kash, let me give you a little kind of an interesting commentary, I think, on the relationship between PaaS and database adoption on-premise. We are the only company that says, hey, you should – what you run in the cloud and what you run on premise should be compatible so that you can push a button and move a workload from your private cloud to the Oracle public cloud and back again or you can do development test in the public cloud and do production in our private cloud on premise if you want to. So that has – we think over time that’s going to dramatically accelerate the adoption of features – certain features of our database on premise, because they are getting those features in the cloud. They are getting multi-tenancy in the cloud. They are getting the in-memory database features in the cloud and they'll want to have an exact analog in their private cloud on premise. So I think that’s going to actually help keeping our customers current with the latest features of database.
Kash Rangan : Wonderful. Safra, any commentary on the license growth rate for databases?
Safra Catz: Well, I want to talk to you actually about the options that did best. As you would expect, everything around security many of our customers are realizing the security options that we have which are really, very, very critical, obviously cyber attacks and all those things and also inside threats or something they are finally really focused on and so database security options were up very significantly like around 30%, that kind of level. And many of our customers are looking now at the multi-tenant option which is available with our newest products and that is doing very well. That means that our customers are moving even themselves into their own private cloud to manage more efficiently. So that is very, very good for us this year – this quarter.
Operator: Your next question will come from the line of John DiFucci with Jefferies.
John DiFucci : I guess we understand and appreciate the emphasis here on the cloud business. But I’d like to ask a question on what I guess is still the overwhelming majority of your revenue today. And that’s – I am talking about the on-premise software business. How should we be thinking about your enterprise customer base, what is their behavior like and what do you think it’s going to be moving forward from here? I mean in the past I think we heard both Safra and Mark talk about the sustainability of the Siebel maintenance stream. I guess as enterprises move to the cloud, is this move largely the – as your customers and I know, Mark, you sort of addressed this a little bit. But are they – are your customers largely replacing on-premise technology or is it primarily for new implementations today and into the future? I am sorry for the long question but I guess what I am trying to get to is how should we think about the current support steam from that on-premise software, the current support and maintenance into the future?
Safra Catz: So firstly, it’s very important that you understand our support base continues to grow. When we sell new licenses at all, any new license, that increases our base. We do continue to sell billions of dollars of new licenses. Our renewal rates by the way remain extremely high, very very high, historically high rates. So many of our customers are not necessarily – are not cancelling support and moving everything to the cloud overnight. They are adding cloud capabilities. What would happen invariably is even when they add something in the cloud that they did on premise, they have other uses for many of our licenses that they’ve had before. We would like them over time frankly if we had our way to move everything to the cloud, that would mean probably revenue rates of significantly larger than we are now. But our customers, our base continues to grow – our customer base continues to grow and our support numbers continue to go up, up obviously 8% just this quarter.
Mark Hurd: Yes, I think, what Safra said is right. 8% CD growth for the quarter, renewal rates were very strong again, if you will, flat year over year, meaning they were very, very very good. And again I’ll try to go through this again, so to be clear. Most of the new things that we sold or most of what we sold in the cloud was incremental in terms of certainly SaaS applications. So I think again the way to think through this is you are going to have a very large on-premise environment, I think, for a long period of time but workloads are shifting to the cloud, and that is an opportunity for us as we maintain our on-prem base but frankly grow our market share through this shift of the cloud and we can see it. And it’s exciting. Remember, John, too, when we win a SaaS application, we gain all the hardware, all the operating systems, all the database and all the middleware. When we gain PaaS, we get all the database, all the operating system and all the hardware as well. So I think you are going to see on-prem, I think our position on-premise is actually strengthening on a relative basis to what’s in the market and we are now growing faster with these numbers and I don’t know how many ways to go through these numbers to show the market share we are gaining and the speed by which we are accelerating our market position in the cloud. And I think we had a chance to get both.
Larry Ellison: Let me just add – summarize what Mark said. Our support base, our install base on-premise is going up 8% and will continue to go up. While our cloud business is experiencing hyper growth 50% of revenue growth, 50% revenue growth, may be more than that.
Operator: And your next question will come from the line of Brent Thill with UBS.
Brent Thill : Safra, in Q4 did you see a greater percentage of deals in the pipeline that maybe more forecast to go as a perpetual license that meant to shift to a cloud model and therefore that was the weight on the license I think relative to what we all were looking for that, there was a big delta there and just curious if you have any commentary. And then maybe for Mark, as it relates to similar cloud initial deal sizes and duration of these contracts, if you could, maybe point to what you are seeing in terms of some of the contract values that you are seeing throughout the year and any changing characteristics that would be helpful?
Safra Catz: No, that isn’t how it works. It’s not that – by the time a deal itself is actually listed in the forecast it’s already qualified as to what it’s going to be. The reality is that conversion rates move in the cloud were very very very high and they are – to some extent took – was a big focus, that is what we push in the forecast call every week, that’s what we are talking about all the time and that’s what was very clear. In the forecast overall there were many many different shape deals and types of deals and what exactly will close in the quarter, I never know. I have to use my own conversion and closing historical rate. This quarter showed a marked move towards converting the cloud deals. Those did very well. They far exceeded where we thought they would go. So that’s how it worked out. Obviously it doesn’t show up in the revenues because we don’t book them upfront like license does.
Larry Ellison: To your second question, productivity and ASP, your point about pricing both inclined, so our productivity per rep and our average deal size in cloud went up in the quarter, it went up a bit sequentially as well as it went up year over year. There isn’t another dynamic that when you look at our cloud business, you’ve got several factors going on, Brent. You’ve got one, frankly, the products are just better. They are just getting better and the more mature our sales people, we have more of them and they have longer tenure. They are also simply better trained than they were just even a year or two years ago. And so the combination of this is what’s driven the performance in the cloud. And make no mistake about it. There is a keen sales focus on growing our cloud business. Our cloud business is important for all of the regions that we’ve already talked through. Now one other point that we haven’t brought up that I think I’d add to is when you look at where we are heading with the cloud, we are going into a year now where we now get frankly more of our portfolio available at the cloud. So we’ve done just what we descried in Q4 which are these numbers that everybody is all excited about. Frankly, with not our entire product line available to us in the cloud. And not even all of the products that we have localized to all of our geographies. So you have a set of factors occurring next fiscal year this coming, the year we are in, where now we have get more salespeople with more tenure, with more references, with now more of our products in line, online if you will in more geographies.
Operator: Your next question comes from the line of Raimo Lenschow with Barclays.
Raimo Lenschow : Two quick ones. First, Safra, if I look at sales and marketing, they came in a little bit higher than we had expected. Can you talk a little bit about the dynamics there? Are you actually paying out more on cloud provisions et cetera or is it just that Q4 actually was very successful and we can’t see it in revenue because it was sold on cloud? And the other question on PaaS, what are the use cases that you see on PaaS, is it all test and development or are people actually putting software as the production workloads over on to your cloud already?
Safra Catz: So what you are seeing in the sales and marketing percentage is that again, since we are not recognizing the revenue upfront like with license, though we have commissions and things like that with cloud, there is also additional sales expenses that are recognized immediately but they don’t have the corresponding revenue like new license does. So you are just seeing timing differences more than anything else, and that’s impacting a number of our ratios, put that way.
Mark Hurd: In PaaS, we have a number of things going on. Yes, your point about dev test is correct, there is a lot of dev test use cases for PaaS. But there is more going on in PaaS than just database, service and just dev test. We have released our first – really BI solution into the market which is now – digital analyser which now goes head up against [TapWall]. And we had good success with that product in Q4. So again our competitors are shifting now as opposed to in BI on premise where we would have competed with Cognos or Business Objects. We now compete with [TapWall] and that’s in our PaaS results that we’ve described, also Java as a service was strong in the quarter. The collection of those services were 30%, 40% of our PaaS bookings and yes, dev test other than that, dev test is certainly a very big use case for our customers.
Operator: Your last question will come from the line of Philip Winslow with Credit Suisse.
Philip Winslow : I think we’ve had a lot on the software side of the business and cloud but we haven’t really touched on hardware much. You guys came in actually a little bit above the midpoint of your constant currency guidance on hardware this quarter. Just wondered if you could comment on the trends you are seeing there, engineered systems versus the non-engineered business. And Safra, I know you didn’t give a specific guidance for the hardware business but how are you guys thinking about that going forward?
Mark Hurd: Engineered systems bookings grew double digits in the quarter, very strong, we had over 15, I am doing the stuff – 1500, 1600 incremental systems in the quarter. So very strong in engineered systems as we had very strong growth in North America, very good performance out of one of our Oracle database appliance products. So SuperCluster was very strong in the quarter. We grew in storage in the quarter and this is -- really we are going through a shift in storage now. We released our SAN product FS1 in the quarter which saw some bookings. This is really the first quarter we got any bookings out of FS1 or GFS product, somebody’s renamed that but I haven’t recently – BS1. I wish they wouldn’t do that to me but so they renamed BS1 – so I missed the – but anyway so we had good growth in PaaS – as well. But – and then we have sort of server performance that was declines in the quarter and then the growth in the other products that I have described netted to the growth rate that we described. I mean let’s face it, we are the only hardware company growing in the industry. So when you look at the market share numbers, they sort of get to be staggering. We’ve taken over the – and this is not a question you asked but I am going to say it anyway. In the United States when you look at servers above $15000, the number one company in market share now is Oracle. I believe that will occur region by region by region because of the strength of not just our hardware product line but our software portfolio with it. So it was a good quarter for us in hardware and I would expect that trend to continue. Very similar to John’s question, I don’t think we are telling you that there isn’t a non-premise market. Please don’t take that message when we described. But I think the fact that you can take a workload from your on premise data center and now move it seamlessly to the cloud and back and forth to a data center gives us a tremendous advantage. The configuration we have in the cloud, the configuration we have on premise now can be identical. If they were to move workloads back and forth, use that on our hardware in your data center, use that on the very same hardware perhaps in the cloud. We are the only company in the industry that can do this. And so I think this bodes very well for our hardware business, granted in a declining market. But I believe Oracle will gain market share in the declining market. End of Q&A
Ken Bond: Thank you, Phil. A telephonic replay of this call will be available for 24 hours. Dial-in information can be found in the press release issued earlier today. Please call the Investor Relations department with any follow-up questions from this call and we look forward to speaking with you. Thank you for joining us today. With that, I'll turn the call back to the operator for closing.
Operator: Once again we’d like to thank you for your participation on today’s conference call. You may now disconnect.